Operator: Good day, ladies and gentlemen. Welcome to Vista Gold's First Quarter 2017 Financial Results and Quarterly Update Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. Today is Wednesday, May 3, 2017. It is now my pleasure to introduce Vista's President and CEO and your host, Mr. Fred Earnest. Please go ahead, Mr. Earnest. 
Frederick H. Earnest: Thank you, Ann. Good afternoon, ladies and gentlemen. Thank you for joining Vista Gold Corp.'s First Quarter 2017 Financial Results and Corporate Update Conference Call. I'm pleased to be joined on this call by John Engele, our Senior Vice President and CFO; and also Connie Martinez, our Director of Investor Relations, both of whom are here with me in our corporate office in Denver. 
 During the first month of this year, we started the process of completing feasibility level of bulk metallurgical test that are expected to lead to an updated preliminary feasibly study, with met testing results becoming available in 2 stages this summer and the updated preliminary feasibility study results toward the end of the year. We are excited about the potential to demonstrate significant improvements in the Mt. Todd project economics as a result of this work. 
 In the course of this call, we will be making forward-looking statements. These statements involve known and unknown risks, uncertainties and other factors that may cause the actual results, performance or achievements of Vista to be materially different from any future results, performance or achievements expressed or implied by such statements. Please refer to our Form 10-K for a detailed discussion of risks and other important factors that could cause actual results to differ materially from those in our forward-looking statements. 
 I will now turn the time over to John Engele. 
John F. Engele: Thank you, Fred. Good afternoon, everyone. I'll start with our balance sheet and liquidity. Our balance sheet is in good shape. As reported, our working capital totaled approximately $26 million on March 31, 2017. This includes cash and short-term investments of about $21.8 million. Our short-term investments are comprised of U.S. T-Bills and notes. The company has no debt. 
 Turning to our statement of income and loss from our March 31, 2017. For the quarter, we reported a net loss of $2.8 million, or $0.03 a share. The main components of this loss are $2.5 million of net operating expenses and an unrealized $0.3 million mark-to-market loss on our remaining $7.8 million Midas shares. The main cash components of $2.8 million of our net operating loss are $0.7 million of fixed site management costs at our Mt. Todd gold project, about $0.8 million of Mt. Todd discretionary programs comprised mainly of permitting and completing the drilling program to extract 20 tons of core for the feasibility level metallurgical testing, which Fred will comment more on in a few minutes. Our fixed corporate G&A costs were about $0.9 million for the quarter. 
 Compared to the same quarter last year, total Mt. Todd fixed cost in Australian dollar terms will remain fairly constant. Similarly, corporate G&A costs were substantially unchanged from Q1 2016. Looking ahead, with working capital of some $26 million, we're well-funded with what we believe is sufficient working capital to cover our fixed costs for several years. In addition to funding our fixed costs, we believe we have sufficient funding to complete all of the critical milestones, including permitting and feasibility studies necessary to advance the Mt. Todd gold project to the point of a development decision. 
 Potential future resources of non-diluted financing include the sale of our used mill equipment, the sale or auction of our non-core Guadalupe de los Reyes project in Mexico and, depending on market conditions, the sale of some or all of our remaining common shares of Midas Gold. R&D grants from the government of Australia, if any, are not expected to be material in 2017. 
 That concludes my comments. I'll give the floor back to Fred. 
Frederick H. Earnest: Thanks, Jack. I'd first like to talk about our corporate and social responsibility. I'm pleased to report that our Mt. Todd site management team continues to operate without any safety or environmental incidents, and they are now well on their way toward achieving 5 consecutive years without a lost time accident. Even though this wet season has been the third wettest on record in Darwin, at Mt. Todd, we received only slightly more precipitation than normal. We have successfully discharged 1.9 giga-liters of treated water from the pit and are now preparing for the enhanced evaporation programs planned for the dry season. We continue to maintain a close working relationship with the Northern Territory government, the local communities and the Jawoyn aboriginal people. I would now like to discuss our technical and [ processary ] optimization studies. 
 In January, we completed a drilling program consisting of 1,700 meters of PQ diameter, 3.75 inch diameter core to generate 20 metric tons of bulk material for metallurgical test. This material was divided into 4 5-metric-ton bulk samples and was shipped to Germany. Once the samples have arrived at the testing facilities of ThyssenKrupp Polysius, they will be crushed in a 1 meter diameter HPGR crusher, which is the largest HPGR crusher available for testing. Following the crushing, the bulk samples will be screened at 5/8 of an inch, and the oversize, or plus-5/8 inch material will be sent to Tomra Sorting Solutions test facility, also in Germany, for automated sorting test. The minus-5/8 inch material will be shipped to Resource Development Inc. in Denver. The tests at ThyssenKrupp Polysiu and Tomra Sorting Solutions are designed to validate the results of the preliminary test work completed last fall and to provide feasibility level engineering data for use in designing an improved process flow sheet for Mt. Todd. Following the completion of the automated sorting test, the remainder of the bulk samples will also be sent to Denver, where we will complete grind size and leach recovery optimization test, tailings characterization and material property studies. We expect to complete these test programs in the third quarter of this year. 
 The results of these studies will be used to validate final grind size, gold recovery and tailings impoundment design assumptions reported last November. We expect these studies to confirm our belief that the proposed addition of an automated sorting circuit and grinding circuit improvements will result in reduced operating cost and improved gold recovery, which together are expected to contribute significantly to improve project economics. We plan to incorporate these results into an updated preliminary feasibility study, which we plan to commence this summer. 
 Now let me switch over to permitting. As I indicated in our last corporate update conference call, with the encouragement of the Chief Executive of the Northern Territory Department of Mines and Energy, we have commenced the preparation of the first draft of the Mt. Todd project Mine Management Plan or MMP. The preparation of this plan, which in the North American vernacular represents the basis for our mine operating permit, is progressing ahead of schedule. And we now expect to complete the draft and have it ready without prejudice review by the department starting in late August of this year. We are also pleased with the progress being made on the remaining federal environmental authorization and hope to receive the final approval in the coming months. 
 Let me talk about other assets. This quarter, we have seen an increase in interest in some of our non-core assets. We completed a transaction for the sale of our Long Valley project in California. We have also received serious expressions of interest in the Guadalupe de los Reyes gold/silver project in Sinaloa. Our mill equipment continues to be held for sale, and we have received 1 credible near-term expression of interest since the start of the year. A.M. King Industries continues to market the equipment package. I would emphasize that our primary focus continues to be the Mt. Todd gold project in Australia. 
 In conclusion, our Mt. Todd gold project is the largest single deposit undeveloped gold project in Australia. With 5.9 million ounces of proven and probable reserves, Vista controls the third-largest reserve package in Australia. It is ideally located in the Northern Territory of Australia and enjoys the benefits of existing critical infrastructure components such as paved roads to the site, power lines to the site and natural gas pipeline also to the site, freshwater storage reservoir and tailings impoundment facility. We are working to demonstrate significantly improved project economics before the end of the year and are well advanced with the permitting, the EIS having been approved in September of 2014. We have earned the trust of the local stakeholders and believe that our social license is firmly in hand. We believe that all of these factors combined to position us favorably compared to our peers in the developer space and to provide our shareholders with the opportunity for exceptional leverage to an improving gold price. 
 With the bulk test work samples now close to delivery in Germany, I look forward to being able to report the results of the crushing and automated sorting tests in the coming months. The results of the metallurgical testing to be completed in Denver are anticipated in late August and are expected to confirm our belief that we can achieve important improvements in gold recovery by efficiently grinding to a finer final grind size. 
 Finally, we expect to demonstrate significantly improved project economics through the completion of the preliminary feasibility study update prior to the end of the year. We believe that we have the financial resources to complete these programs in all of their milestones that are necessary to advance the Mt. Todd project to the point of a development decision, in addition to having a resource to fund several years of fixed operating cost. I believe that having the financial strength to achieve all of these objectives is a distinguishing factor between Vista and many of its peers. I believe that this is an outstanding investment opportunity that could significantly improve in value as we complete the programs that we have discussed on the call today. 
 We will now be happy to respond to any questions from the participants in this call. 
Operator: [Operator Instructions] And at this time, with no questions in the queue -- go ahead. 
Frederick H. Earnest: I was going to say, it appears that we have no questions. I would just like to take this opportunity to thank everyone who's joined the call and those who listen to the call at a later date. As we head into the summer months, we expect to be able to have a significantly improved level of news flow. We're excited about the potential to be able to demonstrate improved economics at the Mt. Todd gold project, and we invite all to stay tuned. And we look forward to being able to demonstrate the improvements that we've talked about. 
 So with that, I'll close the call and we'll thank everyone for your participation in the call today. Thank you. 
Operator: And again, this does conclude today's conference. We thank you for your participation. You may now disconnect.